Operator: Good morning, ladies and gentlemen, and welcome to our 2025 year-end and fourth quarter results for Russel Metals. Today's call will be hosted by Mr. Martin Juravsky, Executive Vice President and Chief Financial Officer; and Mr. John Reid, President and Chief Executive Officer of Russel Metals Inc. [Operator Instructions] I will now turn the meeting over to Mr. Martin Juravsky. Please go ahead, Mr. Juravsky. Thank you.
Martin Juravsky: Great. Thank you, operator. Good morning, everyone. I plan on providing an overview of the full year and Q4 2025 results. And if you want to follow along, I'll be using the PowerPoint slides that are on our website and just go to the Investor Relations section, and it's located in the conference call submenu. If you go to Page 3, you can read our cautionary statement on forward-looking information. So before I go into detail on the fourth quarter, I want to provide a little context. I view Q4 and even full year 2025 as continuations of a broader game plan that has been unfolding over several years. And if you go to Page 5, you'll get a bit of a snapshot of the significant changes over the last several years, including 2025. On the left graph, you see that we generated about $2.2 billion of cash flow since 2020. This has been asset sales such as the OCTG line pipe monetizations back in '21 and '23 and then the cash flow from operations. The right graph shows how we've deployed that $2.2 billion of capital. In the orange section, it shows about $1 billion of reinvestments through both internal investment initiatives as well as acquisitions. And this capital has really materially reshaped the portfolio. For example, we closed 3 acquisitions over the past 16 months being Samuel, Tampa Bay and most recently, the Kloeckner operations. For the Samuel and Tampa Bay acquisitions in 2024, we've started to see the contributions from those acquisitions. When we acquired the Samuel branches in October -- and excuse me, in August of 2024, we had a plan to reduce the footprint, gain efficiencies and also repatriate redundant capital. When the sale of the Delta property in BC is completed in the coming couple of months, we'll have reduced the initial capital by almost 50% and the implied purchase price multiple will be close to 4x average EBITDA. Going forward, we are now positioning the Western Canadian business for new investments, and we see some interesting new opportunities that are expected to unfold in 2026 and 2027. When we acquired Tampa Bay Steel in December of 2024, it was a very, very good stand-alone business with strong value-added and nonferrous components in its product mix. Equally important, it provided us with a literal and figurative beachhead to further grow into the Florida market. And if we jump forward from that acquisition to 2025, Tampa Bay was a really nice and steady contributor to our results. And it also allowed us to look at Kloeckner Metals, where we picked up 7 new branches in the U.S. in total, including 2 in Florida that complement the Tampa Bay presence in that market. And I'll talk more about Kloeckner acquisition in a minute, but the geography is exceptionally good fit for us. In the blue bar, it shows we returned about $900 million to shareholders by both dividends and NCIB. In the past, the approach was skewed to dividends only. But since 2022, we have taken a more balanced and flexible approach by also using the NCIB. And lastly, in the green, we reduced our leverage by over $300 million since 2020 at the same time that we grew and derisked our business. The result is that our credit profile has changed significantly, and we are now rated investment grade by both S&P and DBRS. On Page 6, the summary shows how the previously mentioned portfolio changes and initiatives have enhanced our EBITDA generation profile. We've talked a lot in the past about changing our profile to raise the cycle floor, raise the cycle ceiling and a result, raise the cycle average. In addition, we focused on reducing the volatility through the cycle where possible. This chart shows each of those elements. One, just by way of background of the way the chart is set up, the continuity takes out the quarter-to-quarter noise as it's sometimes hard to see trends when looking at individual quarters due to seasonal factors. All the data on this chart shows trailing 12-month periods at the various points in time. And I want to show 2 periods of time being both pre-COVID and post-COVID. The pre-COVID period is the 3 years between 2017 and 2019, then excluded the COVID period of 2020 to '22. Those years were so unusual and not really all that meaningful in looking for medium-term trends. and the right chart reflects the most recent 3-year period being 2023 to 2025. Takeaways are really threefold: One, the pre-COVID period shows an average EBITDA of $270 million versus the post-COVID chart. The average EBITDA is $354 million for a 30% increase. Also, the chart on the right doesn't fully reflect the impact of the acquisitions that were completed in 2024 and 2025. The point being that our average cycle EBITDA is now substantially higher than the past. If we look at the circled areas, it shows the peak to trough range in the last cycle had a variance of $167 million in the 2017 to 2019 period versus a much lower variance of $127 million on the right chart for the most recent 3-year period. The point being that we have raised the cycle average EBITDA and also reduced the cycle volatility. Lastly, if we look at the chart on the right, it shows the arrow being the sequential improvement in trend over -- of the trailing 12-month period over the last 4 quarters, including the most recent quarter. If we go to Page 7, there's a snapshot of our 2025 results. For 2025, revenues are up 9%, gross margins are up 90 basis points. EBITDA dollars are up 13%. This improvement is a function of the 2024 acquisitions making contributions as well as the impact from some of the recent CapEx initiatives and generally improved market conditions on average in 2025 versus 2024. On the middle row of the diagram, our 2025 CapEx was $74 million. This number is below our expected multiyear run rate as some projects were completed, and we are still scoping out some potential new opportunities that should be initiated this year, particularly related to some interesting initiatives in Western Canada as well as opportunities that will emerge from the Kloeckner locations. Capital deployed is now about $1.8 billion, and it grew from $1.3 billion at the end of 2023 and $1.6 billion at the end of 2024. At the same time that we are deploying incremental capital in targeted areas, we are also repatriating capital where the returns are not adequate. As I mentioned earlier, in September, we announced the closure of a branch in Delta BC and the sale of the related real estate. This will release over $40 million of capital that was not generating an appropriate return and was part of the broader initiatives in Western Canada that emerged as part of the Samuel's acquisition. When that real estate sale closes in the coming couple of months, we'll have reduced over $100 million of capital in Western Canada and thereby reduce the cost of the Samuel acquisition substantially from the original $225 million purchase price. We generated strong return on invested capital. Our return was 15% in 2025 and averaged 18% per year on average over the past 3 years. These levels compare well against our industry peers and against our stated target of 15% or more over the cycle. We grew in strategic ways. Our U.S. platform represented 44% of 2025 revenues compared to 30% in 2019. Once we take into account the Kloeckner acquisition, our U.S. platform will be over 50% of total revenues. Also, we'll have about 11% -- at about 11% of our revenues as specialty metals such as stainless and aluminum in 2025 versus much lower thresholds in previous years. On the last row of the diagram, returning capital to shareholders. We have balanced approach. In 2025, we returned $86 million via share buybacks, $96 million via dividends for a total of about $182 million of capital returned to shareholders. And in spite of all the reinvestments that we've done, the acquisitions, returning capital to shareholders, we still have maintained a very strong capital structure as it's critical in a cyclical industry. As a result, we've got really strong liquidity, flexible bank covenants, no financial covenants in our term debt and our maturities are extended to 2029 for bank debt and 2030 for our term debt. We go to market conditions on Page 8. On top chart, we saw sheet and plate prices exhibit increases in many categories over the past couple of months. Current hot-rolled coil and plate prices are up around $70 or $80 per ton since late November as demand is solid early in the new year and supply chain inventories are reasonable. On the bottom chart, we've shown aluminum and stainless prices as those are now bigger percentages of our product mix. As shown on the chart, those products don't exhibit as much volatility as carbon as they have different supply and demand dynamics and aluminum, in particular, has been an upward trend over the past 6 months. On the right charts, supply chain inventories in both Canada and the U.S. as measured by months on hand in the yellow lines remains reasonable and within the normal range. On Page 9, a snapshot of our historical results, starting on the top left on the various charts. Revenues were consistent at around $1.1 billion for each of the past several quarters. And if we look on an annual basis, which are the green bars, we had a nice uplift of revenues in 2025 versus 2024 with the contributions from the recent acquisitions. EBITDA of $69 million was down from Q3 2025 due to the typical seasonal decline in volumes, but was higher than Q4 of 2024. EBITDA margins of 6.3% for the quarter and 7.3% for the full year 2025 were up over the comparable periods of 2024. Earnings per share was $0.55 in Q4 just a little over $3 for full year 2025, which were both up versus the comparable periods of 2024. I mentioned earlier, our return on invested capital, 15% for the year, and our 3-year average was 18%. Both of these are industry-leading figures. And as mentioned earlier, on our capital structure, we're in really, really good shape. Going to more detailed financial results on Page 10, income statement perspective. I covered some of these items already, so I'm not going to go into too much detail. Revenues were up 6% from Q3 -- excuse me, down 6% from Q3, but up 5% from Q4 of last year. And I'll talk more about volumes later, but it was a reasonably good shipping quarter in spite of the typical seasonal dynamic. Our margins were flat in Q4 versus Q3, and that was frankly better than I expected. the pickup in margins late in fourth quarter helped the Q4 average and it sets the stage for a small pickup on a same-store basis in margins in Q1 2026 versus Q4 of 2025. There was a little bit of clutter in noise in the quarter, which are included in the results. Some were positive and some were negative. The mark-to-market on our stock-based comp was a $3 million expense in Q4 versus a $2 million recovery in Q3. There was $2 million of operating losses at a couple of our locations in Western Canada that are in transition with some major pieces of equipment moving around, and those can be and were disruptive to the operations. The good news is those are now largely complete. There's about $1 million of costs related to the Kloeckner transaction. And a couple of items that were positive one-off items. There was a $2 million recovery of the tariff that was charged by the Canadian government for our inventory in transit that was expensed in Q3, and we recovered that back in Q4. And we actually had a small about $1 million gain on the sale of various pieces of equipment. From a cash flow perspective, in Q4, we generated $53 million in cash and working capital, which typically does happen in Q4 due to the seasonal nature. This is likely to go the other way in Q1 as we'll have a seasonal pickup in activity, we'll experience some higher prices that impact working capital, and we'll make our annual payments of variable compensation in Q1. The Kloeckner acquisition closed and the estimated purchase price is now USD 95 million or CAD 130 million, and this is down from the previous announced level due to refinement of the closing working capital amount. That being said, I suspect that the level of capital required to operate the former Kloeckner branches under our watch will go up somewhat from the capital deployed at the December 31 closing date. That being said, to put the $95 million purchase price into context, you'll see from our financial statement disclosure that the Kloeckner branches generated around USD 550 million of revenues in 2025 and around USD 30 million of adjusted EBITDA in 2025. So I suspect this transaction will turn into a very economically attractive situation. Share buybacks were $25 million in Q4 and the cumulative share buybacks since August of 2022 or 14% of our shares outstanding for $326 million or a little under $38 per share. Our quarterly dividend of $0.43 per share was paid in December, and we have just declared a $0.43 per share dividend that will be payable in March. Our CapEx, I'll talk more about this later, $14 million was down a bit, but we still have a meaningful pipeline of projects, and we should average closer to $100 million per year for a few years. Balance sheet perspective, I mentioned this a few times already. We remain in a strong position, only $184 million of net debt. Lastly, our book value per share remains around $29 per share. Some of the recent decline in book value was due to the strength in the Canadian dollar, both in the Q4 as well as full year 2025, which had a negative impact on the FX translation in our OCI account. On Page 11, there's an EBITDA variance analysis between Q3 and Q4. Starting on the left and looking at service centers. The service centers as a whole was flat quarter-over-quarter. There are some positives and some negatives. Volumes had a negative impact, but that was again the seasonal factor. The margin impact was a slight positive with most of the pickup in margin occurring at the end of Q4, so it didn't really have much of an impact in Q4. We also did have a favorable variance in service center costs, operating costs as Q3 had more nonrecurring items in them, including the $4 million cost that we recorded to wind down the Delta branch. And as I mentioned earlier, this branch wind down is mostly complete and the sale of the real estate should occur in the coming months, and we expect to recognize a meaningful gain on the sale at that time. Energy field stores down $4 million versus Q3 due to seasonality. Steel distributors had a really solid quarter and it was up $1 million from Q3. But that being said, it did benefit from the $2 million tariff recovery that I mentioned earlier. In the other bucket, there was a reduction in corporate expenses that was a positive variance, but it was more than offset by the negative variances from the mark-to-market on stock-based comp and the seasonal dynamic where our Thunder Bay terminal operation turns down somewhat in Q4 and then also into Q1. On Page 12, segmented P&L information. Service centers, I'll go through this in more detail on the next page, but it was a flat quarter versus Q3, which is pretty good for what is typically a down quarter in Q4 versus Q3. Energy field stores revenues and margins were both down from Q3, but they were within our typical range. Distributors revenues were down, but gross margin was up and EBIT was up. Page 13, deeper dive on the metrics for the Service Center business. Top right graph is tons shipped. Q4 was down a bit from Q3 due to seasonality, but up over Q4 of last year and expect Q1 to exhibit a typical seasonal pickup, notwithstanding some weather-related factors that have impacted pretty much all of our operating regions, both Canada and the U.S. over the past number of weeks. On the bottom left and right graphs, we have revenue, cost of goods sold and margins per ton. Our price realizations, cost of goods sold, gross margin per ton were pretty much flat in Q4 versus Q3, but there was a slight pickup at the end of fourth quarter that resulted in the end of year gross margins being higher than the Q4 average, which should lead to higher Q4, Q1 versus Q4 margins as measured on a same-store basis. Page 14, inventory turns. Overall, our inventory turns declined from 3.8 in Q3 to 3.5 in Q4. That is pretty consistent, though, with the normal seasonal factors that occur in Q4. On Page 15, the impact of inventory turns on inventory dollars. Total inventory was up $111 million, but most of the increase, around $96 million related to the Kloeckner inventory that came with the acquisition that closed on December 31. If you go to Page 16, capital structure. I may sound a little bit like a broker record, but our liquidity is strong, and it gives us a lot of flexibility. As I said earlier, we recently obtained a credit rating upgrade from S&P, and so we are now investment grade by both S&P and DBRS. Since last quarter, our net debt was reduced by $41 million prior to the Kloeckner closing on December 31, and our liquidity increased from $600 million to $653 million. The far right column on the table shows the impact of the Kloeckner acquisition that did close on the last day of the year as we ended the year with net debt to invested capital of 10% after that transaction closed and over $500 million of liquidity. Page 17, a bit of an update on our capital allocation priorities, which really haven't changed all that much over the last little while. They remain pretty consistent. Starting point for investment opportunities, we do see average returns over the cycle greater than 15%. We continue to focus on all the various initiatives. And when we look at facility modernizations and value-added equipment in particular, our multiyear CapEx pipeline is approximately $200 million at this point. In terms of acquisitions, we are always looking at M&A opportunities and the types of acquisitions that are being considered are similar in nature and scope to what we've done over the last few years. But that being said, our very near-term focus is on integrating the Kloeckner acquisition that only closed a few weeks ago. For returning capital to shareholders, as I said before, our approach is to be flexible. Over the last 2 years, we've returned an average of a little over $100 million to shareholders via the NCIB, while our average annual run rate for our dividend is currently a little under $100 million per year. Page 18, a little bit of a context to our reinvestment program, and I've mentioned this a couple of times already. If we look at 2025, it was a little bit of a down year from what our expectation was as we invested $74 million in CapEx, which was down from $90 million in 2024. I expect the 2026 CapEx to be closer to that $100 million mark as our multiyear pipeline, as I said earlier, is about $200 million, and that includes a number of opportunities that we'll pursue at the former Kloeckner branches. Page 19 is a deeper dive on returning capital to shareholders. Top left graph is dividends, and we show our longer-term dividend profile with the most recent dividend declaration of $0.43 per share that will be payable in March. We'll continue to regularly revisit the appropriate dividend level, taking into account capital structure, earnings profile and the like as was done when we listed the dividend in May of 2023, May of 2024 and most recently in May of 2025. Bottom left graph, we show our NCIB activity since we put it in place in August of 2022. It is not a fixed approach to the program. It is opportunistic way buy back shares, and we have been more aggressive at certain price points than others. In Q4, we acquired around 600,000 shares at an average price of around $40. On the bottom right graph, the impact of the NCIB has been a gradual reduction in our share count and result in a 14% reduction in our shares outstanding since we initiated it. On the top right graph, the aggregation of dividends and NCIB over the past few years shows a fairly balanced approach, but it isn't fixed and it isn't the same in any particular quarter. That being said, and in closing, folks, on behalf of John and other members of the management team, I really want to express our appreciation and thanks to everyone on the Russel team for their contributions. A lot was accomplished in 2025 with much more opportunity ahead. And as an example, I've talked about before, we are in the early days of operating the former Kloeckner branches, but we see significant opportunities that will be pursued over time, and we really appreciate everybody's efforts and contribution to realizing on those opportunities. So operator, that concludes my introductory remarks. Can you please open the line for any questions?
Operator: [Operator Instructions] The first question comes from James McGarragle at RBC Capital Markets.
James McGarragle: I just wanted to ask a question on the return on invested capital. So returns have been really solid in the context of a very weak backdrop, but kind of trended down the past couple of years. So any confidence here that 2025 was a trough and that 2026 should start to show improvement in that metric?
Martin Juravsky: Yes. Well, I guess as a starting point, James, if we kind of compare to the return on invested capital that we realized in '21 and '22 and '23, frankly, that was buoyed not just for us, but for everybody in the industry by some really unusual market activities. So when we look at 2024 and 2025, where we generate around a 15% return in both of those years, both of those years were extremely volatile and involved a lot of challenges, a lot of navigation. So we're actually quite proud of those levels of returns in what were frankly difficult markets. And that's just not looking at it relative to our internal expectations is also relevant in comparison to what we look at when we compare ourselves to other public companies. So it's hard to say what's a peak, what's a trough because we actually look -- our frame of reference is trying to look through the cycle on average because sometimes we get impacted by market conditions that we have no influence over and the test is how we navigate through them. And we navigated through 2024 and 2025 exceptionally well and to have generated 15% returns in each of those years. That's a pretty high level compared to some of our public competitors.
James McGarragle: Yes. I appreciate the color there. And can you just give us an update on how you're thinking about volumes? I mean PMIs came in really strong in January. There was some indication that might have been potentially front running of some tariffs. But can you just kind of give us an update on what your customers are saying? And if that PMI reading is kind of consistent with some of the conversations that you're having with your customers early in the year so far?
John Reid: Yes. Thanks, James. The PMI rating is very consistent with what we're hearing in both Canada and the U.S. from our customers. So we're seeing an uptick. I think another reference point you can use is mill capacity utilization rates are now creeping towards 80%, which anything above 80% really gives pricing control. And so you can see the mill pricing is moving up, mill lead times are moving out, which would indicate demand is also moving strong, which would correlate with the index that you're referring to for the purchasing managers. So we're pretty bullish on what we're seeing in Q1 that's out there right now with a lot of optimism around basically all of our end markets with the exception primarily of ag is still languishing. But everything else is running extremely well. Equipment manufacturing is good. Obviously, you've seen robust things for data centers that are out there, solar, wind. We're participating in all of those. You're seeing some [indiscernible] from the government that are coming in where projects are -- there's a lot been announced. You're seeing some projects move forward. So that's adding to the robustness that's out there. Energy has a lot of positive things going on with it. So overall, we're pretty optimistic going into Q1.
Operator: The next question comes from Michael Tupholme at TD Cowen.
Michael Tupholme: Maybe just to pick up on the last line of questioning there. Is it possible to elaborate a little further in terms of any differences from a demand perspective in Canada versus the U.S.? It certainly sounds strong in general, but just geographically, wondering if you're seeing any differences.
John Reid: It's definitely a little stronger in the U.S. right now. And so we've seen the U.S. kind of lead that and is moving forward quicker. As we see the tariff dynamics continue to unfold, it's obviously impacted some of the end use in Canada. But overall, we're seeing upticks on both sides. On a percentage basis, the U.S. is probably up a little bit more. But again, we're growing in both markets. So again, we feel good in both areas right now.
Michael Tupholme: That's helpful. And then just in terms of some of the comments you made, Marty, earlier in the call about expectations for sequential improvement in service centers margins as we move into the first quarter on the back of the higher pricing you've seen. Can you provide any further detail around sort of order of magnitude, like, I guess, margins -- gross margins in service centers were relatively consistent Q3, Q4. You talked about some of the sort of the dynamics as you move through the various quarters there. But I guess, just any help in terms of sort of to what extent we should expect to see an improvement in Q1?
Martin Juravsky: So it's a good question, Mike, and let me break it down into 2 pieces, one on same-store and one overall. So if you look on a same-store basis, where we saw a little bit of an uptick was in December versus the Q4 average. And it really was a continuation of margins were basically flatlined through probably the previous -- before December, probably the previous 3, 4, 5 months. And so December was a little bit of a pickup. So that's why December was a little bit higher than the Q4 average. It wasn't a step function change. I'd measure it by probably 25 or 50 basis points higher in December than it would have been in the previous couple of months. And so that kind of looks on a same-store basis. The qualifier in all that, though, is when we look at our overall results, though because on December 31 is where we picked up the Kloeckner branches. And so the Kloeckner branches will be included in our Q1 results, whereas they weren't included in our Q4 and the Kloeckner branches, as we've talked about before, different product mix, different earnings profile. The economics of that transaction look pretty good, but the margin profile is below the margin profile of the rest of our business. So what we'll probably do in Q1, Mike, is have some sort of disclosure that distinguishes between same-store data and overall data because there will be some margin dilution because of the meaningful contribution from those Kloeckner operations. And that is separate apart from my earlier comments about on an apples-to-apples basis, there was a margin pickup at the end of Q4.
Michael Tupholme: Okay. That's helpful. We'll look forward to that disclosure. So overall, when you layer in Kloeckner, we should actually expect down in Q1 on an overall blended basis.
Martin Juravsky: If you look at service centers, on a margin basis, percentages, it will be flattish. Same-store will be up overall, should be flattish on a percentage basis or dollar per ton basis. But when you look at bottom line contribution in dollars, it is accretive right away.
Michael Tupholme: Perfect. No, for sure. And I mean, obviously, the visibility is not quite sort of as good. But if we look out to Q2, is that a similar sort of dynamic? Or can things change -- begin to change kind of quickly with Kloeckner? Or is it going to take some time such that sort of what you've described in -- as being the dynamic in Q1, is that sort of the right way to also think about sort of the next few quarters as we look out a little further?
Martin Juravsky: Sorry, are you talking specifically about Kloeckner or the broader market, Mike?
Michael Tupholme: No. Well, service center margins overall for the company, inclusive of Kloeckner as we kind of move past Q1. Like I understand it depends what happens with steel prices. But so far, everything looks pretty solid on the steel pricing front, and there is the lag effect. So beginning to maybe get some visibility into Q2. Just wondering if this sort of Kloeckner dynamic, does that act as a bit of a drag for a little while such that as we look to Q2, we should be kind of thinking sort of flattish as well?
Martin Juravsky: Yes. So talking about the Kloeckner piece of it first, that's not a 30-day turnaround situation. There are going to be initiatives that will unfold over years, not months. And when I talked about CapEx, for example, there are some opportunities that are coming to the table related to CapEx, some of which is catch-up, some of which is incremental new opportunities, but those don't happen quickly. Those are being scoped out. Those will take some time. They will come to the table over the course of 2026 and probably even in 2027. So some of the improvement in margin profile that we're expecting to come out of the former Kloeckner branches, that will unfold over a couple of year period. So it wouldn't -- I wouldn't suspect that you're going to see any meaningful noticeable difference for the initiatives that we're putting in place in Q2 versus Q1. That's going to take a little bit longer time to unfold. In terms of broader market conditions, though, Mike, almost by definition, our visibility is somewhat limited just because that is how we structure our operations being highly flexible, highly adaptable. We don't have the contract business. So we can adapt to whatever the market conditions are. So John's comments, we're quite optimistic, but we don't have a backlog or a formalized pipeline that lets us see what Q2 and Q3 and Q4 are going to be because so much of what we do is just adapting to market conditions, whether they're good, bad or otherwise. Right now, we're quite optimistic of what the rest of the year is going to look like, but we'll play it out as it plays out. And if it's good, that we will be very well positioned to do that. If there's some twists and turns like we saw in the last couple of years, we'll adapt to that as well.
Michael Tupholme: That's helpful. And then maybe just one final one, picking up on some of the comments that you made about CapEx. Can you help us understand this $100 million or so that you'd expect to deploy in the next -- each of the next couple of years. Presumably, maintenance CapEx has gone up a little bit as a result of some of the acquisitions. So is it possible to kind of talk about how much of that $100 million is maintenance and then of the balance, I mean, I think I have a pretty good idea, but can you talk a little bit about where you plan on devoting or directing that capital in terms of specific opportunities?
Martin Juravsky: Yes. If I look at what the maintenance piece is, your premise is right on, which is the maintenance piece of it does go up, in particular, where using the Kloeckner transaction example, there is some catch-up associated with those operations for sure. And so the bar keeps going up. But the most meaningful part of the $100 million is discretionary that will have some degree of a return attached to it.
Michael Tupholme: Okay. And it's facility modernization, value add is continue to be the focus and I guess, any further detail there?
Martin Juravsky: Some of the individual projects are still being scoped out. So it will be more of the same of the types of things you've seen in the past, different kinds of modernizations across different facilities, where we'll be debottlenecking, expanding the footprint, enhancing the product flow that will exist in some of those operations. In a couple of cases, we're looking at rationalizing 2 locations into one, enhancing the flow a little bit better, putting everything under one roof. So it fits into the same category, the type of modernizations that we've done in the past. And then the type of equipment projects, more of the same, Mike.
Operator: The next question comes from Ian Gillies of Stifel.
Ian Gillies: Russel has obviously been quite busy doing bolt-on M&A over the last 5 years, if not longer. Some of your peers have been executing what I would call larger transactions in the last 6 months. And as you look across the competitive landscape, I'm curious if you feel a desire or need to start moving your acquisitions into a larger snack bracket just in an effort to keep up from a size perspective or whether the market is still so fragmented that you're not very worried at this point in time?
Martin Juravsky: My apologies for gravitating on a couple of your words, but it sort of does set the frame of reference for us. We don't find a need to do anything. It's purely where the opportunities are. And when we have looked at some transactions that other competitors have done, whether big, small or otherwise, it's not like we didn't know about them or see them or have opportunities on them. We've come to our own conclusions. And our own conclusions were not to pursue things that we don't think makes sense. So other people will have their own strategies and their own initiatives, and that's all fine and good. our strategy, I think, has been successful. And it's not a case of we look at stuff that is of a certain size or scope. That's just what has made sense over the course of the past period of time. And we think some of the chunkier things that have been out there have inherent challenges associated with them. And we're quite comfortable with the approach that we've taken. And in some ways, when you talk about the chunkier or the scalable things, Ian, if we look at the aggregation of what we've done over time, there's a bunch of singles and doubles. And when you put them all together, we've deployed about $1 billion of capital through acquisitions and through internal investments. And that's a meaningful amount. It just happened to come through a series of transactions over the course of time. And that's what the next number of years looks like. that will be more of the same. If there's something chunkier that comes available that meets our criteria, that's fine, too. If it doesn't meet our criteria, we don't need to do it.
John Reid: And Ian, just to add on to that, I think our balance sheet flexibility puts us in a position to take advantage of any opportunity that we see that fits within our metrics and it's disciplined. It also puts us in a position not to have to do anything. And sometimes our nose are just as good as our guesses. And so we'll remain very disciplined. Again, we think there will be a lot of opportunities out there. We'll see what fits. But again, it puts us in a very nice position to have a lot of flexibility going forward to continue to push the company, as Marty said, the singles and doubles approach for a lot of loans.
Ian Gillies: No, that's very helpful context. John, there was a lot of last week, if I could call it that, around Fast Markets rolling out a Canadian HRC price. I know it's not necessarily really core to what you do, but it is an input into the value-added products that you sell in some instances. And so are you willing to comment at all on the price point they laid out? Because it feels a little high relative to what's been talked about in market for where the Canadian steel price is.
John Reid: Yes. I think they came out. They pulled the market. Obviously, they're taking more of a median or an average. So I think it's within the realm of reasonableness and maybe a little bit on the high side. I think the challenge for them has been the historical pricing, and we've talked about this before on calls, historically, U.S.-based currency adjusted within a few percentage points. When that disconnected, it became a little bit of a free fall. That gap has now narrowed and continues to narrow. So I think there's just a little bit of ambiguity, and I actually feel for them as they try to put that together because things are starting to tighten back up between that spread of Canada and the U.S. So I think it is moving directionally correct. I think they may just came out just a little bit over market day 1, but I think the market is moving in that direction.
Ian Gillies: Yes. No, that's very helpful. Marty, I've tried this before, and I'll try again, but there's obviously -- you've been opportunistic in and around the buyback. In the event you choose not to be opportunistic on the buyback given the move in the share price, are there other ways you may want to use those funds, i.e., like perhaps higher dividend increases, maybe you put a bit more towards M&A than you have historically? I'm just trying to kind of risk and think about how you allocate capital here this year.
Martin Juravsky: Well, you've tried again so. I'll try my answer again. How is that?
Ian Gillies: I like that.
Martin Juravsky: I'll go back to what John said in terms of our capital structure, which is it's set up in a way for a reason. to give us a lot of flexibility. And that flexibility is about making decisions that are not based upon February 12, 2026, and what it might do on February 13, 2026. We're trying to make as many long-term impact decisions as possible. And so we don't really feel that there's a need -- there's not a best before date on our balance sheet. It really gives us a lot of flexibility and optionality to do what we want, when we want. And we don't feel that we need to be forced into a time-constrained box. And I think, again, if we look over a multiyear period, I have a much higher degree of conviction of what we will do on aggregate over a period of time, just like we have done for the last couple of years. But on a very short-term narrow basis, it's really ebbing and flowing a fair amount, and we're not making decisions purely on a short-term basis. Higher degree of conviction of what our long term will be. And if you look at the last 5 years, it's probably a good reflection of what the next 5 years is going to be, whether it's NCIB, whether it's dividends, whether it's acquisitions or CapEx. Did I not answer your question again?
Ian Gillies: I'll just go to the [ drawing board. ]
Operator: The next question comes from Sean Jack at Raymond James.
Sean Jack: So I know that you mentioned before that M&A has kind of followed an opportunistic trend. But if you had to highlight top strategic priorities with acquisitions, is it adding spokes to hubs? Is it filling white space? Is it new customers? Any color would be appreciated.
Martin Juravsky: So the answer is yes. And it may sound repetitive, but it really is a multipronged approach. And it is all of the above. It's not one or the other. It's a series of things that in aggregate, we think is meaningful and additive. And as I was just mentioning to Ian, the last couple of years, there's been an accumulation of a series of initiatives, both internal and external, how we return capital to shareholders. And it's going to be more of that. Some of it just doesn't even get on the radar screen, quite frankly. The stuff that some of our folks are doing in the field on a day-to-day basis and going after customers, going after market share, generating returns, generating margin, that doesn't necessarily get a lot of profile, but that's just blocking and tackling that they're dealing with every day, and then there's a few things that pop up here and there that are more meaningful that actually just do become more noticeable in the public context. But it really is an all-of-the-above approach.
Operator: The next question comes from Jonathan Goldman of Scotiabank.
Jonathan Goldman: I just want to know, is it possible to quantify or even directionally talk about how much your volumes are benefiting from data center work? I mean, John, you talked about kind of pretty decent end markets for a few quarters now. It looks like it's staying that way. The only drag would be ag. Volumes have kind of been flattish on a same-store basis. Is data center work kind of offsetting some of the weakness you're seeing in ag or some other verticals?
John Reid: It's a good question. It's because we touch so many layers from structural steel fabricators and people making racking for data centers. It's a little hard to put an exact pin on that, but it is impacting us across multiple customer base. The thing that's interesting is you've seen, if you look at the Architectural Billing Index, it's hovering just below that 50%, which would mean expansion. It is a big portion of that, and it's with wind towers as well. It's driving the energy side of it, whether it's solar, whether it's wind, whether it's nuclear small nuclear, medium or large. So it's driving that power demand as well. So it's hard to quantify exactly. But no, we think it's making a meaningful impact, and we think it will continue to for the next several years.
Jonathan Goldman: That's interesting color. I appreciate that. And then I guess another one on the industry kind of the consolidation we've seen lately, another 2 of your big peers have consolidated and it follows on another one that happened, I think, last October. When you guys think about what's happening there, how do you think about that from a competitive dynamic standpoint? And how does it potentially change your approach to M&A?
John Reid: I got your question there backwards. I guess, it doesn't really change our approach. We look at every opportunity that's out there, what does it do? How does it stand on its own 2 feet? How does it compare to a myriad of things that are out there buying our own stock back? What does it do for our shareholders? What risk does it put our balance sheet at? Understanding we are in a cyclical industry, and we've taken out some of that volatility by changes we've made in the past by exiting OCTG and line pipe, we don't want to recreate that again. We don't want to get out over our skis on the balance sheet. But we're not -- as Marty mentioned earlier, we spent over $1 billion now in the last 5 years. So we're growing. We're just doing it very systematically. And so we like our approach. But I will say when looking at some of the other deals, I guess, the growth for the sake of growth is not something we're interested in. And so what is it doing for our shareholders and what is it doing for our company long term? And how does it impact our balance sheet, we are very cognizant of that.
Jonathan Goldman: Understood. And I'm sure investors will appreciate the discipline as well. I guess one more maybe for you, Marty. I mean, I guess this has been asked a bunch of different ways. But if we sit here today and you think about the M&A pipeline that you have and the visibility there, how do you think about the relative attractiveness of M&A versus buybacks today?
Martin Juravsky: We'll constantly calibrate them and the opportunities on both of those buckets change every day because our share price changes every day and the M&A opportunities change every day. So it's a constant recalibration. But it is a fair observation, though, which is -- we're not doing M&A for the sake of M&A. And there are some businesses that might be interesting, but not at certain values. And we have seen M&A opportunities over the last couple of years that come to market, leave the market, come back to market, leave the market. And sometimes they are good businesses that just have wrong valuation expectations. So not to be repetitive with John's comment about not growth for the sake of growth for us. And there are always opportunities that are out there, some of which are just not attractive either from an economic perspective or business perspective or the like. And if we see opportunities that make sense both in terms of internal deployment external deployment, share buybacks, it's a constant recalibration, which is why if we look back over the last 5 years, in aggregate, we've done a bunch of all of the above. But on a quarterly basis, sometimes we do more of one versus the other. It's a constant shift of where the opportunities are.
Operator: We have no further questions. I will turn the call back over to Martin Juravsky for closing comments.
John Reid: Great. Thank you, operator. I really appreciate everybody for joining our call today. Very good questions, and we're really excited about what unfolded in 2025 and the opportunities that are in front of us. So thank you for indulging with us through the discussion. If you have any questions, please feel free to reach out. Otherwise, we look forward to staying in touch during the balance of the quarter. Take care, everyone.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.